Operator: Good morning. Thank you for joining us today to discuss Consolidated Water Company's First Quarter of 2023 Results. Hosting the call today is the Chief Executive Officer of Consolidated Water Company, Rick McTaggart; and the company's Chief Financial Officer, David Sasnett. Following their remarks, we will open the call to your questions. [Operator Instructions]. Before we conclude today's call, I will provide some important cautions regarding the forward-looking statements made by management during the call. I'd like to remind everyone that today's call is being recorded, and it will be made available for telecom replay per the instructions in yesterday's press release, which is available in the Investor Relations section of the company's website. Now I'd like to turn the call over to Consolidated Water Company's CEO, Rick McTaggart. Sir, please go ahead.
Frederick McTaggart: Thank you, Sarah. Good morning, everybody, and thank you for joining us today to discuss our results for the first quarter of 2023. As you saw in our earnings release yesterday evening, we reported a 68% increase in revenue to $32.9 million, with revenue up across all four of our business segments. Our top line results reflect both a return to normalcy after the pandemic and increased activity and output from all four business segments. Our retail water revenues benefited from a 20% increase in the volume of water sold in Grand Cayman last quarter. Approximately one-quarter of this volume increase was attributable to direct water sales to the government-owned Water Authority of the Cayman Islands. The remainder of the sales volume increase was due to increased tourist activity on Grand Cayman as tourism on the island last year was lower than historical levels due to the lingering impacts of the pandemic. Our Services segment revenue increased by $8 million with most of this increase due to the progress our PERC Water subsidiary has made on its construction of an $82 million advanced water treatment plant in Goodyear, Arizona, and we announced this project in May of last year. We recognized about $6.4 million in revenues from this project in the first quarter of this year. Construction is progressing as planned, and we anticipate recognizing significant additional revenue from this project until construction, commissioning and start-up is completed in mid-2024. As many of you know, PERC develops, designs, builds, operates and manages water infrastructure facilities in the Southwestern U.S. In January, we acquired the remaining 39% interest in PERC that we did not previously own. PERC's strong operating performance, revenue growth and synergies with other areas of our business have significantly improved our top and bottom line results and enhanced shareholder value. Our acquisition of a controlling interest in PERC in the fourth quarter of 2019 immediately strengthened PERC's financial capacity and management capabilities, allowing it to pursue much larger and more complex project opportunities, resulting in financial and operational performance that has exceeded our expectations. PERC's strong operational presence in the Southwestern U.S., a region that urgently needs new freshwater sources due to unprecedented drought conditions positions us for further growth in this very important segment of our business. During the quarter, PERC Water continued the commissioning and start-up of the Santa Monica Sustainable Water Infrastructure Project, or SWIP. PERC has also been contracted to operate this facility for the city for the next two years. This project is located 45 feet underground near the shores of Santa Monica, California, and SWIP is considered one of the most advanced water treatment facilities in the world. SWIP is designed to convert storm water and sewage into purified non-potable water for irrigation, toilet flushing and groundwater recharge. We believe that treated water from this facility may eventually be used for direct potable reuse once regulations allowing such reuse are promulgated in California. The SWIP project is a great example of how Consolidated Water is on the forefront of designing and operating advanced water treatment facilities in this water challenged region of the U.S. Looking at our Caribbean seawater desalination businesses. The revenue we recognized from the design and construction of the 2.6 million gallons per day Red Gate desalination plant for the Water Authority also contributed to the year-over-year increase in Services segment revenue. Construction of this project remains on track and is expected to be completed early next year. Construction activity on Cayman Water's new 1 million-gallon per day West Bay desalination plant, which replaces a 30-year-old plant and supplements production capacity for our retail water business in Grand Cayman also increased our construction in progress by approximately 1.2 million. This plant is awaiting delivery of some key equipment that has been delayed due to lingering supply chain issues and is expected to go online in August. Now before discussing more about these projects and our outlook for the rest of the year, I'd like to turn the call over to David, who will take us through the financial details for the quarter.
David Sasnett: Thanks, Rick. Good morning, everyone. As Rick mentioned, revenue for the first quarter was up 68% from last year same quarter to $32.9 million, and this reflects increases in all four of our business segments, specifically, $1.5 million revenue increase in our Retail segment, $1.7 million in our Bulk segment, $8 million in our Services segment and $2.2 million in our Manufacturing segment. As Rick also mentioned earlier, retail revenue increased primarily due to a 20% increase in the volume of water we sold during the quarter, but our Retail revenue also benefited as a result of higher energy costs that increased the energy pass-through component of our water rates. The increase in our Bulk segment revenue was due to an increased energy cost by the CW-Bahamas, which like with our retail operations, increased the energy pass-through component of CW-Bahamas rates but also retail -- Bulk revenue was up due to a 9% increase in the volume of water sold primarily with our Bahamas operations. And I think it's important to note that the Bahamas economy has rebounded nicely from COVID and literally, they're purchasing almost every gallon we can make for them. So, that's a really positive development. The increase in our Services segment revenue was due to an increase in plant design and construction revenue and most of this increase was comprised of PERC's progress on its contract with Liberty Utilities for the construction of a water treatment plant in Goodyear, Arizona. We also recognized some revenue from the construction of the Red Gate plant on behalf of the Water Authority-Cayman in this quarter. We recognized approximately $6.4 million in revenue power for the Liberty Utilities contract and that cost due most of the revenue increase. The increase of our Manufacturing segment revenue was due to increased production activity. And our production activity increased due to improvement in the supply chain and economic conditions that previously in 2022 created significant product delivery delay request by customers as well as continuing delayed shipments of raw materials and supplies to Aerex, and we're seeing an abating subpart of those conditions in 2023. Gross profit for the first quarter was $10.6 million or 32.1% of total revenue, which was up in dollars, 48% from the $7.1 million in gross profit we recognized for the first quarter of last year. Net income from continuing operations attributable to CWCO shareholders for the first quarter was $4.1 million or $0.26 per basic and diluted share, and this compares to net income of $2.3 million or $0.15 per basic and diluted share for the first quarter of 2022. Net income attributable to Consolidated Water stockholders for the first quarter 2023 which includes the results of discontinued operations was $3.8 million or $0.24 per basic and fully diluted share. This was up from a net income of $1.7 million or $0.11 per basic and fully diluted share for the first quarter of 2022. Now turning to our balance sheet. Our cash and cash equivalents totaled $51.1 million as of the end of the quarter. And our working capital was $70.6 million, our debt was only $300,000 and our shareholders' equity grew to $163.8 million. As of March 31, our projected liquidity requirements in 2023 include capital expenditures for existing operations of approximately $12 million. This amount includes $2.3 million that we expect to incur in 2023 to refurbish our West Bay desalination plant and approximately $6.2 million for construction of the new Red Gate desalination plant on behalf of the WAC on Grand Cayman. As mentioned in January of this year, we exercised our option to purchase the remaining 39% equity of our subsidiary PERC Water for approximately $7.8 million. This was appraised $2.4 million in cash and 368,383 shares of our common stock, which is valued at about $5.36 million. We paid approximately $1.4 million in dividends in April of 2024. Our future liquidity requirements may also include any future potential dividends that were declared by the Board. And with that, this completes our financial summary. And I'd like to turn things back over to Rick.
Frederick McTaggart - President, Chief Executive Officer and Director: Thanks, David. We believe that our first quarter results affirm that our Retail water operations in Grand Cayman have finally returned to normal. As mentioned earlier, I guess we'll mention it again, our retail water sales volume increased 20% during the quarter, reflecting increased tourist activity on Grand Cayman as compared to the first quarter of last year. Now that the pandemic effects have abated, we expect that our retail sales will return to normal seasonal patterns, which means that water sales will likely be lower in rainier periods and periods of lower tourism activity. And historically, these lower periods occur from May through November of every year, while peak sales have historically been from December through April. As we reported on our last investor call, overall full-year 2022 visitor numbers to the Cayman Islands were still below pre-COVID levels. Tourist arrivals in the first quarter of this year were higher than the fourth quarter of 2022, but we're still somewhat lower than pre-pandemic levels. We were pleased in manufacturing, we're pleased to see continued year-over-year growth in our manufacturing segment revenue. During the quarter, we saw some relief from supply chain constraints and challenging economic conditions allowing us to advance more of our order backlog through the manufacturing and billing process. Over the last couple of years, we have diversified our manufacturing customer base in terms of customer concentration and type of products. And we believe that this diversification will continue to improve our results and provide more consistency in future manufacturing segment results. This past quarter, we also saw more business return from our historically largest manufacturing customer, business that had been suspended over the past several years. Looking ahead, we expect improved and more consistent results for our Manufacturing business and see continued growth opportunities with a much more diversified customer base. On the acquisitions front, we are presently evaluating two potential transactions. If completed, the first would be complementary to PERC Water and the second involves a partnership for the development and introduction of membrane process technology to industrial and mining applications. Our first quarter 2023 results reflected our successful acquisition and integration of PERC Water and how we effectively applied our financial and management expertise to grow PERC's business exponentially. We believe that our successes with PERC can be replicated through these two potential strategic transactions as well as future opportunities that we will pursue. We remain very optimistic about our further growth for numerous reasons, including the continued recovery of tourism in Grand Cayman, our ongoing construction projects underway in the Cayman Islands and in the U.S. and the increased project bidding activity that we are seeing in the U.S. and the Caribbean. We also expect more than $150 million in major multi-year projects that we secured last year will have an increasing positive impact on our earnings in future quarters. We believe that our recent activities and successes and the current trends in our markets represent strong catalysts for continued growth, increasing profitability and further strengthening our shareholder value. Now, Sarah, I'd like to open the call up for questions.
Operator:
Frederick McTaggart: Well, I just like to thank everybody for joining us, and I look forward to sharing our second quarter results with you in August. Take care, and we'll talk to you then. Bye.
Operator: Thank you, ladies and gentlemen. Before we conclude today's call, I would like to provide the company's safe harbor statement that includes cautions regarding forward-looking statements made during today's call. The information that we have provided in this conference call includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 including, but not limited to, statements regarding the company's future revenue, future plans, objectives, expectations and events, assumptions and estimates. Forward-looking statements can be identified by the use of words or phrases usually containing the words believe, estimate, project, intend, expect, should, will or similar expressions. Statements that are not historical facts are based on the company's current expectations, beliefs, assumptions, estimates, forecasts and projections for its business and the industry and markets related to its business. Any forward-looking statements made during this conference call are not guarantees of future performance and involve certain risks, uncertainties and assumptions which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements. Factors that would cause or contribute to such differences include, but are not limited to, tourism and weather conditions in the areas we serve, the economic, political and social conditions of each country in which we conduct or plan to conduct business, our relationship with the government entities and other customers we serve, regulatory matters, including resolution of the negotiations for the renewal of our retail license on Grand Cayman, our ability to successfully enter new markets and various other risks as detailed in the company's periodic report filings with the Securities and Exchange Commission. For more information about risks and uncertainties associated with the company's business, please refer to the management's discussion and analysis of financial conditions or results of operations and Risk Factors sections in the company's SEC filings, including, but not limited to, its annual report on Form 10-K and quarterly reports on Form 10-Q. Any forward-looking statements made during the conference call speak as of today's date. The company expressly disclaims any obligations or undertaking to update or revise any forward-looking statements made during the conference call to reflect any changes in its expectations with regard thereto or any changes in its events, conditions or circumstances of which any forward-looking statement is based, except as required by law. Before we end today's conference call, I would like to remind everyone that this call will be available for replay starting later this evening. Please refer to today's earnings release for dial-in replay instructions available via the company's website at www.cwco.com. Thank you for attending today's presentation. This concludes the conference call. You may now disconnect.